Operator: Good morning, ladies and gentlemen, and welcome to the Ahold Analysts’ Meeting and Conference Call on the Third Quarter 2014 Results. Please note that this call is being webcast and recorded. In today’s meeting and conference call, statements may be made that do not refer to historical facts, but to expectations based on management’s current views and assumptions. Such statements may involve known and unknown risks and uncertainties that could cause actual results, performance or events to differ materially from those included in the statements. Such risks and uncertainties are discussed in Ahold’s interim report, quarter three 2014, and also in Ahold’s public filings, and other disclosures. Ahold’s disclosures are available on www.ahold.com. The introduction will be followed by a Q&A session. Any views expressed by those asking questions are not necessarily the views of Ahold. [Operator Instructions] Thank you. At this time, I would like to hand the call over to Mr. Henk Jan ten Brinke, Vice President Investor Relations. Please go ahead, sir.
Henk Jan ten Brinke: Thank you, operator. Ladies and gentlemen, good morning. Thanks for joining us on our third quarter results conference call. I’m here with Dick Boer, CEO; and Jeff Carr, our CFO. Dick and Jeff will take you through a brief presentation that’s available on our website, and after that, we are very happy to take your questions. So with that, over to you, Dick, please.
Dick Boer: Yes. Hello, all of you. Good morning, and thank you also, Henk Jan. I will start with some of the, mentioned already by Henk Jan, some of the Group highlights of the quarter; then Jeff will take you through the financial performance, after which, I would like to discuss some of the business highlights. And Henk Jan mentioned it already, you can find them on the website, the presentation. So I will now go to slide number two, Group highlights quarter three 2014. So let’s start with that. We reported an improved sales trend, both in the United States as well as the Netherlands. At the same time, our underlying operating margin, excluding the SPAR acquisition was stable versus prior quarter at 3.9%. In the United States, we have made good progress with the further roll-out of our program to improve our customer proposition, bringing better quality, service, and value to our customers. By the end of the third quarter, the program has been rolled out to just over 500 stores, well over the half of our store base of 767 in the U.S. In the Netherlands, Albert Heijn continued to introduce new products and develop format improvements for different types of stores. We’ll give some examples later on. And in the Czech Republic, the integration of the SPAR business is going well, and we’re making good progress converting the stores to the Albert brands, becoming the leading supermarket brand in the country. Our online business continued to show double-digit sales growth. And we are looking forward to give you an update next week, November 17 and 18, on our strategy and plans going forward, as we feel that online will become an even more important part of Ahold in the future. Now over to you, Jeff.
Jeffrey Carr: Good morning, ladies and gentlemen, and thank you, Dick. In the quarter, sales benefited from the inclusion of the SPAR business in Czech; also from the disruption that took place with market basket in New England. And we also, as Dick mentioned, saw an overall improving trend in our underlying sales in the U.S. and the Netherlands. So, at €7.5 billion, sales were up 1.9%, or at constant exchange rates due to the strengthening U.S. dollar 1.5%. Gross margins were down 20 basis points, and that’s mainly due to the acceleration of our investments in the United States, which, as Dick mentioned are targeted to our customer proposition improvement program. In addition, as we flagged during the second quarter call, the SPAR acquisition had a negative underlying operating margin impact of 10 basis points. So consequently, underlying operating income at €285 million was down 5%, or 30 basis points versus last year. Operating income and net income were up 9.7% and 8.5% respectively. And this reflects the fact that this quarter last year, we incurred the restructuring charge related to the exit from New Hampshire. Now moving onto chart four, we can look at the performance by each of our business segments. You can see in the United States, sales were up 0.4%. The strongest performance was in New England as we’ve mentioned. And the most challenging market remains Giant-Landover. And, of course, in New England, we also continued to see a negative effect since we are annualizing the exit from New Hampshire. Identical sales were up 1.2%, but if we do normalize for the 49 stores, which faced market basket, we see an impact of 140 basis points, which would give identical sales down slightly, 0.2%. So although still negative, this is a significant improvement in the overall trend from last quarter. Underlying operating profit margins at 3.8%, were 10 basis points ahead of quarter two, and 20 basis points below last year. Within this we continue to focus on our Simplicity program, which is delivering excellent results in the U.S., and this is largely but not quite offsetting the accelerated funding and gross margin as we’ve already discussed. In the Netherlands, sales were up 1.4% and that’s mainly driven by our continued growth and the continued good performance in Belgium, and our online businesses ah.nl and bol.com. Identical sales in the Netherlands were down 1.1%. However, again, the trend at Albert Heijn supermarkets was positive compared to the second quarter. Underlying operating margin for the quarter in the Netherlands was 4.9%. However, excluding bol.com, the margin of the Netherlands business was 5.2%, which is stable versus the prior quarter. The increase in the dilutive impact from bol.com is partly due to the faster growth rate, and the faster revenue growth, and also a slight increase in the expenditures related to investments in growth. In the Czech Republic, sales grew 18.7% to €367 million. Now this included €67 million from the integration of the 49 SPAR stores, and if you recall that acquisition was completed on August 1. Underlying operating income was minus €1 million. However, this included the €6 million resulting from the acquisition within the underlying number, and excluding this impact, the margin from the Czech business was similar to last year. So now, I’ll move onto the next page, page 5, which is the operating cash flow. You can see for the third quarter actually our cash flow was a little disappointing at €70 million giving a year-to-date number of €442million. In the quarter, our cash flow was €111 million lower than last year, which is – but we are comfortable with guidance for the full-year of €800 million free cash flow, which includes just over €100 million of higher income taxes paid in the current year, but that largely relates to the prior years. Specifically in the quarter, the working capital outflow was higher than anticipated and that was impacted by some one-off items and also some timing issues, which were partly reversed in the fourth quarter. So, thank you. Now, I’ll hand back to Dick.
Dick Boer: Thanks, Jeff. Moving up to Slide number 6, I would like to share with you some of the business highlights during this quarter. We saw already, I mentioned it already in my opening that the program to improve our customer offering is really building momentum. We see improving sales trends, especially in the stores where the program has been active for a few quarters now. Improvements in quality and the targeted price reductions resulting in encouraging volume uplifts, and we’ll clearly give you more detail at year-end when we publish our full-year results.
 : Our total market share in the United States was higher than last year driven by the sales uplift in the New England market, which Jeff iterated to. In New York and at the Carlisle, our market share was unchanged for the last year. Landover’s market share remains under pressure. Landover remains a very competitive market for us That’s why at the end of the quarter, we have accelerated the roll-out of our program to all our Giant-Landover stores. We continue to work similar to all the others on improving the range, quality of our products, and we also added even more targeted price reductions in some what we call super KVIs, key value items, or every – what you could say even better everyday essentials, products every customer needs in a basket and buys quite often. So these things clearly are helping us. We also have improved our marketing and advertising campaigns, and improved them and strengthened them in the Landover market, which for the first time we could advertise in the Landover market as one company with almost – with very limited price zones to give really a signal to the market and to do it Washington-wide in a way. Across our other banners, our own-brand penetration continues to grow. The target remains, of course, as we’ve said 40% in 2016, and we are well on the way. I’ll give you a couple of examples also; for instance, during this period, specific for this period, we introduced limited time originals seasonal products we offer exclusively to our customers and we get great feedback on. Another example how we are positioning our private label is simply by the use of our A brands versus the own brands by a simple way that you get our free when you buy the brand. We saw a massive number of trials, I think this is an exciting way to convince our customers of the quality and value of our own-brand products. I would like to turn to the business highlights of the Netherlands at Slide 7. The restructuring and reorganization to streamline the support roles and to improve the commercial focus at Albert Heijn was completed just after summer, as you’re all aware, and we are now moving with the new organization. We continue to launch new products like healthy and organic foods, and we keep developing our format improvements. Think about things we did with sushi, rolling out the in-store sushi counters, grill and steak, which brings kind of butchery department back into our stores, flower departments, but also we are testing quite some other elements in our new licensed Zaandam [ph] store, which we opened in September. At the same time, we continue to grow with our other Albert Heijn formats in the Netherlands, and Belgium. Belgium continued to grow. We opened 25th store last week, the Netherlands which to go. Every store we now remodel get an uplift of 10%, 20 stores already year-to-date remodeled. It’s not only the store remodeling but also the assortment innovation, which helps as well. Also this quarter, the Dutch Consumers Association recognized Albert Heijn for the widest range of sustainable products. In that sample, on average one out of three products qualifies as sustainable throughout various categories. Sustainability is a key element as you know, for our responsible retailing approach and we’ll continue to develop more choices for our customers. I would like to continue with the business highlights on the Czech Republic. We’re very excited with what what’s going on there. The acquisition of SPAR may not be a huge scale of Ahold, but it’s clearly a transformational for our Czech business, becoming the number one food retail brand in that market. And we’re clearly also pleased with the sales performance after rebranding into Albert. During this quarter, we converted the first 14 SPAR supermarkets of the 49 stores, already entered the Albert brand with all the benefits from Albert. And we have seen strong sales growth during these first weeks when we converted them, which is really an important factor that converting from SPAR to Albert, the customers see the benefits of both coming back in one store and even we see increased sales, so that’s great news. We also implemented in all stores, or are finishing almost the implementation of new replenishment systems to the SPAR stores from our warehouses, and back office systems. That will be finished before the festive season starts in December. We also started with the conversion of the remaining big stores of SPAR, the so-called SPAR compact hypers, 35 of them. We’ve converted the first store recently as a test store in Pilsen, and just at the start of the beginning of year, we’ll roll-out all these stores, and we’ll have finished all the remodeling before Easter 2015. In the integration we aim to keep the best of both worlds, keep also some of the strong points of SPAR and adding that to our existing Albert network and brand. Getting to the outlook of this year, investments in our customer proposition and further development of our formats and assortment will continue to result in improving sales trends this quarter. For the remainder of the year, we expect margins in the U.S. and in the Netherlands to remain broadly at current levels, supported by savings from our Simplicity program. For our Czech business, the SPAR acquisition will have a negative impact on underlying operating income of €10 million in the second-half of this year mentioned already by Jeff, the first part we have taken already in the third quarter. Free cash flow for the year will be at around €800 million, including higher tax payments this year, primarily related to prior years. We remain focused on executing our reshaping retail strategy to take advantage of our strong brands, leading market positions, the solid balance sheet we have, and our fast-growing online business, which we would like to tell you much more about next week when we meet again here in the Netherlands. And with that, I would like to hand it over for the Q&A.
Operator: Thank you, Chairman. Ladies and gentlemen, we will start the question-and-answer session now. [Operator Instructions] The first question is from Mr. Jaime Vazquez from JPMorgan. Go ahead please, sir.
Jaime Vazquez – JPMorgan: Yes. Good morning. You talk about improved sales trends in the fourth quarter. Is that excluding the market basket effect from Q3, or do you expect an improvement on top of that? Secondly, I was wondering whether you have an answer for the decline in rental costs in Q3? And finally, on the Netherlands, fourth quarter margin, you talk about broadly similar margin to the third quarter, but is there any reason why we shouldn’t see the typical seasonal benefit in the margin in the fourth quarter versus the rest of the year – this year, or is your comment of a broadly stable margin, a relatively broad comment, including both markets the U.S. and the Netherlands, I mean, are you leaving scope for potentially a seasonal benefit? Thank you.
Dick Boer: Okay, thanks a lot. And first of all, of course, when we compare quarter-to-quarter, we take our market basket, because that’s a one-off event. So not expected that we’ll repeat again, I’m sure about it. So that’s how we compare ourselves on the rent, Jeff, maybe you can reiterate on that?
Jeffrey Carr: On rents, I believe that last year included some higher chargers in relation to the closure of New Hampshire, so I think that’s what’s driven the variance versus the current year, that’s the main factor.
Jaime Vazquez – JPMorgan: Sorry, but we didn’t see that benefit in Q1 and Q2 of this year?
Jeffrey Carr: Sorry?
Dick Boer: We didn’t see the benefit of the rent in the first quarter. 
Jaime Vazquez – JPMorgan: So were there one-off rental payments in Q3 last year, is that what you are saying, or that since Q3 you closed the stores and those payments did not recur?
Jeffrey Carr: There is a larger one-off non-recurring charge in Q3 of last year.
Jaime Vazquez – JPMorgan: Okay. Thank you.
Dick Boer: And on the margin, of course, what we said, broadly in line, if you look at the first three quarters, for instance, of the Netherlands, you could say broadly in line. What we expect for the fourth quarter, a seasonal uplift, there might be a small one always as we know. They seem to be more limited than years ago and we always had a firm uplift. But on the other hand, that’s a little the expectation we would have that first and third quarters certainly in the Netherlands, we see a small seasonal uplift. For instance bol.com, was – has a heavy quarter always in the fourth and the Netherlands quite often also have a good quarter from Albert Heijn perspective on margin, but as well the small uplift versus the third quarter.
Jaime Vazquez – JPMorgan: Okay. Thank you.
Operator: The next question is from Mr. Marco Gulpers from ING. Go ahead, please, sir.
Marco Gulpers – ING Financial Markets: Good morning all. Could you update us on what the inflation trends are in both the U.S. and in the Netherlands, and especially also a little bit more light on the underlying inflation of operating costs for Q3 and Q4? The second question is on the underlying progress in the Albert Heijn stores, if we are excluding bol.com, and could you also give us an update on how many stores you are actually operating now in Belgium? And the last question, question number three is on the distribution center interruption last Saturday, there was something in the discreet foods mentioned on that, do you expect any impact from that in the like-for-likes in the fourth quarter? Thank you.
Dick Boer: Jeff will take the first question, I will take your questions on Albert Heijn and the Netherlands, and Belgium, and the distribution, let’s start with the last one. This was, yes, of course, these interruptions are never good for our company, certainly not on a Saturday. It was an interruption in systems in the Netherlands, it will not have any impact on sales. But it’s disappointing for customers at that moment, because they go to a store and they cannot just find their product. So that’s why you see – and, of course, it was taken by the news, because you will experience yourself, especially on a Saturday when some of the products are not – were not able to be shipped. On the Netherlands like-for-likes, we have seen improving sales trends in the third quarter versus the second and the first quarter on Albert Heijn supermarkets itself. So that makes it, at least, encouraging that we see these improving sales trends, but still they are negative and identical, so clearly. On Belgium, we had opened 24 stores, I think at the end of the quarter. I know, at least, that we opened last week our 25th, and I think this week or next week we open 26. So we continue to open stores. And with that, I think we can go back to you, Jeff, on inflation and on operating inflation costs.
Jeffrey Carr: Yes, just on the distribution center, just to recall, it was an issue that affected just one of the distribution centers in the Netherlands, it wasn’t across all of the distribution centers. On inflation trends in the Netherlands, for example, we are seeing really zero, so no retail price inflation at the moment, it’s very limited. There is deflation still in fruit and vegetables around 4%, being offset obviously elsewhere in other categories. But in total we are seeing very limited inflation on the retail price. We are seeing some more inflation coming through on the market in the U.S. at around 2%, but obviously we are investing in price, so we’re seeing less than that in our shelf prices. But generally in the overall market, we are seeing inflation coming through a little bit more inflation coming through in the U.S., partly driven by the cost inflation that we’ve seen in some of the fresh categories, meat and dairy, for example. In terms of cost inflation, I’d say again in the U.S. it’s running around 2%, maybe just over 2%; and in terms of the Netherlands a bit less than that. So that gives you an overall view of the trends on inflation.
Marco Gulpers – ING Financial Markets: Thanks. See you on Monday.
Dick Boer: Thank you.
Operator: The next question is from Mr. James Anstead from Barclays. Go ahead sir, please.
James Anstead – Barclays Capital: Yes, good morning. Just one question from me. We saw, I think last week that Delhaize is selling their Bottom Dollar Stores to Aldi in Pennsylvania. I think that Giant-Carlisle probably overlaps with quite a few of those stores around Philadelphia. I just wondered if you could say how many of Giant-Carlisle stores do overlap and maybe you can talk a little bit about the experience that your U.S. business has in competing against Aldi? I guess in the Netherlands you know it very well, but I’m interested to know the level of your experience in the U.S.
Dick Boer: Yes. It’s clear that James, thank you for your question. The overlap is not that big, because what Bottom Dollar had was not only Bottom Dollar Philly but also Pittsburgh to that area. And Philly, we are mostly on the suburbs of Philly with our stores, so most of the Bottom Dollar stores, I can recall they are more in the city itself in Philly, and as I said, also more in the regions of Pittsburgh.
 :
James Anstead – Barclays Capital: Okay. Thanks very much.
Operator: The next question is from Mr. Fernand de Boer from Petercam. Go ahead please, sir.
Fernand de Boer – Petercam: Yes, good morning. It’s Fernand de Boer from Petercam. A couple of questions, if I may. One is on – the first one on Belgium. This summer there was a report from Test-Annkoop about the price gap between Albert Heijn and Colruyt, which was actually almost double-digit. So could you give some indication what you are doing with your price strategy there? The second is on the online growth. It’s slowing down, I think to around 8% to 9% in the third quarter. And what’s exactly going on there, because in the previous quarter it was almost 20%? And then the last one, could you give us a little bit more feeling on the sales uplift of the, let’s say, repositioning of your U.S. stores, certainly on the ones that you did in the first quarter, because you are now almost the year-end, so you should have somewhat more feasibility there.
Dick Boer: Yes. Jeff will take the second question, clearly. On the last question, on the sales uplift, we see encouraging results as we’ve said. We’re moving forward with, let’s say, with rolling out, and in some areas we have added other things. So, for instance, we started with the roll-out of Fresh. Now, for instance, in the Landover, we have added super KVIs. And in certain areas, also in New England, so let’s say bananas, eggs, sugar, whatever, so really key essentials. And don’t forget, this is not a program, which will end, this is a program, which will continue. And as I said, I think, a good moment to give you a full update when you go cycling the first quarter, for instance, stores which were added this year is when you see it next year first quarter. And we intended to have an update to all you guys at the year-end when we publish our year-end results in February. On Belgium, Test-Aankoop, yes, we’ve seen it also, it was, let’s say, completely opposite to what our own measures are when we look at pricing. We’re still studying what happened now with this whole research of Test-Aankoop. So we couldn’t, let’s say, really – understand really what was happening there, because our price distance has not changed almost anywhere. So it could be that Test-Aankoop have used some more regional prices for some of the competitors instead of the national prices. That could be, because they do price differentiation now, most of them. I don’t know about Colruyt, by the way but I’m sure about Delhaize. So it might be that that has to change. But if we look at our pricing, we didn’t change really our pricing policy in the Belgium market.
Jeffrey Carr:
 : And the second point to raise is that, we are more and more – and we’re not currently reporting, but we will start reporting consumer sales, which takes into account the Plaza sales, or the partner sales that we get in the marketplace at bol. And obviously, this number is significantly higher again. So it’s fair to say that the third quarter e-commerce numbers were a little lower than the first half, but it wasn’t as bad as it appears in the report that we gave. And there’s a little asterisk underneath on that page, which flags out – maps out the impact in terms of the timing from bol. So that’s the answer in terms of that one. Thank you.
Fernand de Boer – Petercam: Okay. Thank you very much.
Operator: The next question is from Mr. Bruno Monteyne from Bernstein. Go ahead please, sir.
Bruno Monteyne – Sanford C. Bernstein & Co., LLC: Hi, good morning. If I combine your guidance on free cash flow and your guidance on net debt versus EBITDA from a few statements ago, it looks like at the end of the current share buyback you will be accumulating excess cash again beyond what you were planning to. What would you need to see to be able to announce a new tranche of share buybacks, please?
Jeffrey Carr: Well, it’s fair to say, we continue to generate strong cash flows. And we will run the current buyback obviously through December. We’ll update you on our plans in the New Year in terms of what we intend to do with the surplus cash. Now, in terms of our options, what we’ve said all along is that, we will balance opportunities in terms of investing in growth with returns to shareholders. So we are not at a point today to be able to commit one way or the other, but we will give an update with the full-year results in February.
Bruno Monteyne – Sanford C. Bernstein & Co.: What kind of options would you be looking at? Can you sort of talk about it in broad terms without giving too much details away?
 LLC: What kind of options would you be looking at? Can you sort of talk about it in broad terms without giving too much details away?
Jeffrey Carr: Well, in broad terms, I mean we’ve – in terms of the investments in growth, we’ve talked very specifically over the last two years or three years as to the type of M&A opportunities that we would be interested in. Now, we’ve been relatively cautious in the execution of those, because we have adopted an approach of being quite disciplined with our capital. But we will continue to look at the market and be interested, where we see opportunities to strengthen our market share positions or expand into adjacent markets, and we’ve been clear on that strategy. In terms of future opportunities, we review our position on a regular basis, and then we make decisions as an executive team as to how we will deal with the surplus cash. And we’ll do that, as I said, in the New Year. But the type of growth opportunities we look at, we’ve discussed over the last two or three years. But we have, as I said, we have applied strong capital disciplines to make sure we get the returns in those areas.
Dick Boer: And to add on that, we just recently did the acquisition of Czech, so I think it is clear that we continue to look at opportunities.
Bruno Monteyne – Sanford C. Bernstein & Co.: Okay. Thank you.
 LLC: Okay. Thank you.
Operator: The next question is from Mr. Edouard Aubin from Morgan Stanley. Go ahead, please, sir.
Edouard Aubin – Morgan Stanley: Yes. Hi, guys, good morning. Just to follow-up on your answer regarding M&A. When you talk about adjacent markets, just to be clear, does that apply exclusively to the U.S. or could it mean entering a new country? And my second question is just to come back on the U.S. If we step back, your reported like-for-like sales have been more or less below FTSE PI almost consecutively for the past 15 quarters or so, suggesting some volume contraction. So I guess my question is quite simple. Is the investment you are making now in your customer proposition, particularly in price, significant enough, I’m asking the question, because despite converting almost two-thirds of your network by the end of the third quarter, you are still experiencing some volume decline in the third quarter when we restate from the market basket benefits?
Dick Boer: That last one is correct. It’s still – but if you look at the improvement we have made during the year, you could also conclude that we have an uplift already seen since we started with the program in the first quarter of this year. So we are, let’s say, investing in future – investing ourselves that, at least, we see the volume uplift coming back. Certainly, when you look at stores, which are, let’s say, a longer time, longer in the program, and this needs time. Secondly, the market is very competitive in the U.S., in the North East, as we all know. And we mentioned Washington D.C., Landover area, which – a lot of store openings. We clearly have done a lot of work over the last quarter to get, let’s say, more clear a price position to our customers also. So that’s another one where competition is really playing a role in that. And we have seen no market growth, or hardly any market growth in these markets in the North East, so also that. On your other question on acquisitions, we continue to look at markets around us in all areas, Europe and in the U.S. So and that’s why we went into Belgium, because it was growing our business there. So if there are opportunities around, then we certainly will look at that as well in the U.S. and in our market in Netherlands.
Edouard Aubin – Morgan Stanley: Okay, very clear. If I can just add another question, if you look at the market dynamics in the Netherlands, if you restate from the C1000 consolidation impact, I kind of get to around 50 basis point market share loss for Albert Heijn. Is it more or less accurate in terms of calculation? And also, do you mind providing us the market share gains of the hard discounters for the first nine months of the year, if it has slowed down versus last year or not, if you wouldn’t mind.
Dick Boer: You are correct with your C1000. I think it is around 50 basis points. So clearly, the market share stabilization comes still, because we have opened new stores, which is, let’s say, helping us to stabilize our market share in the Dutch market. But we also see in the third quarter at least some positive trends on the development of Albert Heijn itself, which I think is good news of the identical stores. So that’s a bit positive sign, I would say. On the discounters, they don’t publish these numbers so we don’t know them. And we are looking at our own market share development clearly, as a more important driver. And I don’t know what’s happening exactly in the rest of the markets in Netherlands currently.
Edouard Aubin – Morgan Stanley: But I think, according to Nielsen, they had gained something like 100 basis point market share last year. Is it fair to assume it’s slowing down a bit, or based on the market that you are seeing or…?
Dick Boer: Yes, we’ve seen that clearly over last year, over this year, I think it may have caused the excessive growth of Lidl at a certain moment, mainly because Aldi was losing at that time. It seemed clearly a bit slowdown. They are also cycling to their own identicals for sure. But let’s be clear, they opened stores, they opened new stores continuously. And they also remodeled their stores heavily and working on that, as we do. So the market is competitive. I would say it’s different than the UK. I mentioned also before the market share already from hard discounters is much higher, high in the teens already Aldi and Lidl together, which is different than the UK. Getting locations is different here than in other markets. So I think, at the end of the day, it’s a little more, let’s say, a little different than, for instance, the UK market where you see all these, let’s say, fast-growing discount chains now, but mainly also because they come from a low base. So I think we have established already, 30 years ago, the first entrance of Aldi in this market. So it’s not for the first time, they are already here for years and years.
Edouard Aubin – Morgan Stanley: Okay, great. Thank you.
Operator: The following question is from Mr. Sreedhar Mahamkali from Macquarie. Go ahead, please.
Sreedhar Mahamkali – Macquarie Research: Good morning. Three questions from me. Firstly, following actually following up on Edouard’s question on Albert Heijn. When I’m looking at the sequential improvement that you are talking about which you are citing, to me it seems to be flat by weak comps. So on a two-year cumulative run rate basis, you are actually significantly worse off versus Q2 and Q3, certainly based on my calculations. Do you believe Albert Heijn can actually be turned around without a meaningful price investment and the sacrifice of margins? And touch on whether or not you are actually cutting the 800 prices as the Dutch press seems to suggest. That’s the first question on Albert Heijn. And secondly, in Belgium, quite independent to the press, it certainly looks like your price increases have outstripped the market. Is that the case or not, when I’ve done my own pricing for the last few months, even comparing with Colruyt, it does look like the gap with Colruyt has actually widened unfavorably towards yourselves? And if you can comment on what actually happened with your price increases in Belgium, that’s the second question. Thirdly, perhaps, Jeff, can comment on it, it’s the class action settlement; what were the outflow, €215 million, if I’m right? Is that expected in Q4 this year or Q1 next year, timing any more clarity on that, please. Thank you.
Dick Boer: Okay, thank you very much. First of all on Albert Heijn, I think cycling – we start cycling our identicals more in the fourth quarter versus last year. So the two years, I think, you could say there was not a lot of growth of Albert Heijn in the two years, that’s clear. But the cycling versus the weak quarter started really at the end of the third quarter last year and really the fourth quarter. It has been clear that this market has not grown at all over the last two years, hardly grown in the Netherlands, so Nielsen is flat also this year. So that means that there is tough competition around gaining some share in this market and everybody is trying to do their best. On the 800 price reductions, that story, we got it also from the media, but there is no really active price competitiveness seen by us. It might be that Jumbo has, because of their online proposition has been adjusting their prices, because they went online as you know, and maybe noticed yesterday, it was a couple of pick-up points in the Netherlands. So then they have to publish the price, so it might have been that somebody picked that up. I don’t know. On the future, I think it’s certainly not that we comment on the years to come. It’s a balancing act in the Netherlands between price investments, which we do in the U.S. and the Netherlands and improving your quality, your service, your assortment. You have to do so many things at the same time, which certainly is something which we have been used to for years, so I’m sure also we can do that on a continuing basis in the Netherlands. So maybe, Jeff, you can reiterate on the – oh in Belgium, you are talking about Belgium, yes?
Sreedhar Mahamkali – Macquarie Research: The price gap, yes.
Dick Boer: I don’t recall that at all really. We haven’t been increasing prices at all, so the only thing, as I said, it could be that there is some more price that are local prices more that a – I know and I’ve read in the newspapers that Belgian supermarkets, for instance, Delhaize has been more competitive versus Albert Heijn, where they are posing them, but there is still a big price gap. So I cannot recall that at all I must say, so…
Jeffrey Carr: On Waterbury, Sreedhar, on Waterbury, obviously our forecast for free cash flow excludes the settlement of Waterbury. It depends on the U.S. courts. We think it will either be right at the end of this year or early in the beginning of next year, but it depends on the determination by the final judgments of the U.S. courts. But it could – so it could come just at the end of this year, or it could just as readily come at the beginning of 2015 and we really aren’t sure which one it will fall into at this stage.
Sreedhar Mahamkali – Macquarie Research: Fair enough. Thank you.
Operator: And the following question is from Ms. Pascale Weber from KBC. Go ahead, please.
Pascale Weber – KBC Securities: Yes, good morning, everyone. Just one question left. The corporate center costs came down from €18 million to €10 million in the third quarter. Could you give us an indication of the level that you expect for the fourth quarter and maybe already for the full-year of next year?
Jeffrey Carr: Yes, I think the costs came down – basically for this – for the fourth quarter, I would expect the costs to be in the mid-to-high teens in terms of millions. The costs were down in the third quarter, I believe it was mostly insurance-related. What flows through the corporate costs is the insurance costs related to the discounting of the reserves and, obviously interest rates have come down which have resulted in some lower charges there. But for the fourth quarter, I would expect it to be back up into the mid-to-high teens. And in terms of next year, I think, if you annualize at those sort of levels on the mid-to-high teens on a quarterly basis, it should give you an indication for next year. There will be some savings – smaller savings related to the program we announced in the second quarter in terms of the restructuring charge we took, but overall, it will be in that sort of range.
Pascale Weber – KBC Securities: Okay. Thank you. That’s it from me.
Operator: The next question is from Mr. Robert Jan Vos from ABN AMRO. Go ahead, please.
Robert Jan Vos – ABN AMRO: Yes. Hi, good morning. Thanks for taking the questions. The first question is on free cash flow guidance. I think you said that the extra tax payments have an impact of around €100 million. So excluding those guidance is €900 million. My first question, would you consider this €900 million a proxy for cash generation potential going forward? Secondly, did you incur any extra costs to achieve the sales uplift in New England, or are they immaterial? And thirdly is a bit detailed question, you reported quite a jump in share of income with joint ventures. Is there anything out of the ordinary in the €12 million reported this quarter? Those were my questions. Thank you.
Jeffrey Carr:
 : So I don’t see any reason that the trend of the last few years should be under pressure, so that’s a good proxy for going forward. I think on New England, yes, we did incur some extra charges. We had, as I say, around 40 stores which faced market basket, so all of the sales uplift came in those stores. We had to bring in extra staff. On individual stores, the uplift was quite dramatic and so we did incur extra costs. We also initiated programs to make sure the customers that came into our stores would come back to our stores once the dispute was settled, so we have been incurring some costs. So therefore, I think it was basically margin neutral at the end of the day. So we got our fair share of margin, but it wasn’t incremental in the way that you might have expected because of the costs we incurred. I think in terms of the income from joint ventures, I have nothing specific to say on that. To be honest, it’s – I’ve no real comment on that. I’ll have to get back to you on it.
Dick Boer: The only thing we could say is that JMR is doing still well, so that’s the – clearly, also their business is still performing well in a difficult market, which I think is positive to see as positioning of the supermarket is really well received and clearly, also versus the competition, beating up and winning market share and gaining market share in many of these markets.
Robert Jan Vos – ABN AMRO: All right, very clear. Thank you.
Jeffrey Carr: Thank you.
Operator: The next question is from Mr. Fernand de Boer from Petercam. Go ahead, please.
Fernand de Boer – Petercam: A small follow-up, could you give us a little bit of indication of your CapEx for the full year?
Jeffrey Carr: I think the net CapEx, the reported CapEx will be somewhat lower than we’d guided, which was, I think we’d talked about a number of around €800 million. It will be somewhat lower than that, partly due to a little less actual gross expenditure, but also the higher than expected sales of assets. That’s non-strategic land and such forth that we’ve been able to dispose of. So I think it will be – the number at the end of the day will be closer to an €800 million number than the number that we’d previously guided to.
Fernand de Boer – Petercam: Okay. Thanks very much.